Operator: Thank you for standing by. My name is Kate, and I will be your conference operator today. At this time, I would like to welcome everyone to the West Bancorporation, Inc. First Q 2025 Earnings Conference Call. [Operator Instructions]. I would now like to turn the call over to Jane Funk, CFO. Please go ahead.
Jane Funk: Thank you. Good afternoon, everybody. I'm Jane Funk, the CFO of West Bancorporation, and I'd like to welcome the participants on the call today, and thank you for joining us. With me today are Dave Nelson, our CEO; Brad Winterbottom, Bank President; Harlee Olafson, Chief Risk Officer; and Brad Peters, Minnesota Group President. I'll now read the fair disclosure statement. During today's conference call, we may make projections or other forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995 regarding future events or the future financial performance of the company. We caution that such statements are predictions and that actual results may differ materially. Please see the forward-looking statement disclosure in our 2025 first quarter earnings release for more information about risks and uncertainties which may affect us. The information we will provide today is accurate as of March 31, 2025, and we undertake no duty to update the information. With that, I'll turn it over to Dave Nelson.
David Nelson: Thank you, Jane, and good afternoon, everyone. Thank you for joining us. We appreciate your interest in Westbank, and we have good news to share. Our financial improvement is underway. Our margin is our main driver and we are experiencing improvement. The first quarter earnings were 35% higher than first quarter last year. Our credit quality remains excellent with no problem loans. We had big core deposit growth last year, and this year, first quarter 2025, rather flat so far in both loan and deposit growth. However, our pipeline for both is good. We declared a $0.25 per share dividend payable May 21 to shareholders of record as of May 7. Those are the end of my prepared comments other than thanking you again for joining us. With that, I'd like to turn the call over to Harlee Olafson.
Harlee Olafson: Thank you, Dave. Credit quality remains strong at Westbank. At quarter end, we had 1 past due over 30 days in the amount of $180,000. This loan was on nonaccrual. Since quarter end, that loan has been paid in full. So now we have no nonaccruals, no OREO and no adversely classified assets. Our commercial real estate portfolio continues to perform well. Office property is deteriorating. There is significant office property that is vacant or nearly vacant. We do not have any property that is currently not performing. But with the amount of vacant property, our customers who have multiple tenants with pending lease expirations will not be dealing from a position of strength. Our C&I portfolio is seasoned and strong. We continue to receive year-end financial information on our customers, and we do see less profitability than in previous years. Uncertainty in the direction of the economy does concern us and our customers. Prices for imported products and possible supply interruptions could cause production problems and earnings distress. The uncommon strength of our loan portfolio is due to doing business with customers with proven management, good balance sheets and strong and diverse payment abilities. That has not changed. Though we do face potential changes in the economy, our commitment to our underwriting disciplines and our conservative philosophy, we expect our credit portfolio to remain very strong. Part of our strength also stems from the markets we serve. All communities have different strengths and are currently thriving. We have a seasoned team of bankers that continue to prospect for comprehensive banking relationships and provide exceptional service to their customers to obtain even more wallet share. I am available for questions after our prepared remarks. I'll now turn it over to Brad Winterbottom, our Bank President.
Brad Winterbottom: Thank you. For the quarter ended March 31, '25, our loan portfolio was relatively flat when compared to year-end. Outstandings were just over $3 billion. Several events took place during the first quarter that impacted our portfolio size. We experienced approximately $100 million in payoffs from asset sale and refinance activity. The majority of those assets were priced below the current rate environment. I'm pleased to report that the refinance activity was planned. We replaced those assets with quality new assets at better rates. These assets represent approximately 50% C&I business and 50% commercial real estate transactions. Deposit gathering sales efforts continue to be an emphasis in the markets we serve. During the first quarter, deposits decreased slightly, primarily the result of ordinary cash flow fluctuations from our customers, not a loss of any relationships. We remain selective in obtaining new loan opportunities and those opportunities are less than in previous years. We remain confident in our abilities to create and maintain positive relationships with our customers and prospects that we're pursuing in a highly competitive market that we serve in all markets. That's the end of my comments. I'd like to now turn it over to Mr. Brad Peters.
Bradley Peters: Thanks, Brad. Good afternoon, everyone. I'm going to provide you a brief update on our Minnesota banks. Our customers have been cautious with the economic uncertainty in the marketplace. We continue to work closely with our clients and have increased our calling efforts to our C&I base of customers. We do not have specific production goals for our bankers but instead measure our bankers on the right activities that will drive results. Our focus is on C&I prospects with significant deposit balances. We have been successful in winning these opportunities. We have a seasoned group of bankers that have proven this strategy to be effective. We are also targeting high-value retail deposits. Our bankers have been successful in winning the retail deposits of our business owners and key executives. We are also attracting new deposits from high-earning individuals in our communities. Our principal bankers provide superior service that sets us apart from the competition. Each of our Minnesota regional centers have seen significant retail deposit growth. All of our building construction projects are now complete. We designed each of our facilities with well-appointed entertainment areas that allow our teams to host client and prospect events and quality small group gatherings. These unique facilities align perfectly with our strategy of building business based on strong relationships. Our team has embraced this and have done an outstanding job of leveraging our buildings to grow our business. Those are the end of my comments. I will now turn the call back over to Jane.
Jane Funk: Thanks, Brad. Just a few items on the financials and then we'll open it up for questions. Our net income was $7.8 million for the first quarter compared to $7.1 million in the fourth quarter of 2024 and $5.8 million in the first quarter of 2024. Harlee and Brad just provided some good commentary on our loan portfolio. As they mentioned, overall growth in the portfolio was modest this quarter as expected, and our credit quality remains very strong. As a result, there was no credit loss expense recorded in the first quarter. We've now had five consecutive quarters of increases in net interest income, and net interest margin increased 30 basis points this quarter compared to the fourth quarter of 2024. With the 100-basis point reduction in the Fed rate since September of last year, we had -- we have been able to lower deposit rates on our highest costing sectors, resulting in noticeable improvements to our cost of funds and our net interest margin. The cost of deposits decreased 38 basis points this quarter compared with fourth quarter of 2024. And as Brad mentioned, we've been able to improve the yield on our fixed rate loan portfolio as cash flows roll over. The improvement in the yield of the fixed rate portfolios helped offset the impact of last year's reduction in the prime rate on the variable rate portfolio. The loan yields in Q1 2025 was 5.52% compared to 5.53% in Q4 of 2024 and 5.49% of Q1 in 2024. There were no significant onetime items in noninterest income or noninterest expense this quarter. Occupancy expense in the first quarter reflects all new building costs as our last construction project was completed in January. And there are no other construction projects on the horizon. Those are the end of our prepared remarks and now we would open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Andrew Liesch with Piper Sandler. Please go ahead.
Andrew Liesch: Thank you everyone. Good afternoon. Hey Andrew, Jane, just sticking with the margin here. Obviously, good improvement in the deposit cost side. But absent rate cuts, I mean, is there more room or will it be more challenging to bring deposit costs down at this point?
Jane Funk: I would say in this environment, the deposit costs, we'd probably move them as much as we think we can in light of the current environment. So they're probably pretty static until something else happens in the marketplace.
Andrew Liesch: Got it. And then on the new loans that were added in the quarter, I'm curious if you have the rate on what those were added at versus what's been rolling off just to try to get a sense of that differential.
Brad Winterbottom: Well, of the $100 million or so that paid off in the first quarter, I would say 75% of those were probably started with a three or a four. Those all would have been replaced with -- started with a six in front of it, maybe even some with a few 7s. And I would say that the current environment is probably in the high six range.
Andrew Liesch: Got you. That's helpful. The loan pipeline sounds like it's pretty good, and obviously, $100 million is solid. Should growth accelerate here in the second quarter or are you expecting other larger payoffs in the horizon?
Brad Winterbottom: There's a handful of nice transactions that we're looking at. So I would say we do have some planned payoffs, but I think the opportunities exceed the payoffs, to be honest with you. And we'll see what happens. There's other people involved, obviously.
Andrew Liesch: Jane, just on the expenses, there were some elevated accruals in the fourth quarter. In the first quarter, was there anything keeping expenses a little bit lower? I'm just trying to get a sense of the run rate into 2Q.
Jane Funk: No. I would expect that the first quarter performance will be pretty indicative of the go-forward. There's not any significant items that we foresee at this point in time.
Andrew Liesch: Got you. And then I noticed the tax rate was a little higher than I was expecting. [indiscernible] see improved better rate to be modeling?
Jane Funk: Yes. So we had a tax credit, like a 7-year new market tax credit that expired at the end of '24. So the accounting for that, that goes away. So our tax rate will be a little bit higher this year than what it was last year.
Andrew Liesch: Got it. And then the last one on credit here. Is there anything you can point to with concerns about tariffs or immigration policy that you're watching specifically or that your browers are talking about? I know your credit metrics are strong but just curious if there's anything that you're seeing that you want to highlight that's a concern.
Harlee Olafson: Well, I don't have anything on immigration policy, but the tariffs, we have some manufacturers that in their product, what they provide in their total product, they have mixes of components that are coming from offshore. And the concern, there's some concern there that the -- that cost will increase and/or the supply of it may be hindered, that it won't flow as easily as it has in the past. Again, I like to always say that the customers that we have been doing business with are seasoned and have developed good balance sheets so typically can weather through those type of things, but they are concerning.
Andrew Liesch: Got it. That covers the questions.
Operator: Your next question comes from the line of Paul Vishal with South.
Unidenified Analyst: I have a question for Mr. Nelson relative to the letters to stockholders. In the first paragraph, you referenced the significant strides to the return to excellence by concentrating on what we can control. Is that a reference to the duration risk that we take? And then in the second paragraph, you referred to being bankers and not lenders. Would you have any color on that?
David Nelson: Well, sure, and thank you for the question. The differentiation between bankers and lenders is kind of a way of highlighting that we don't really like to be called lenders because that's just part of what we do. We work both sides of the balance sheet for both loans, deposits and a multitude of other services. And so we talk about comprehensive recommendations, meaning that it's not just about making a loan but it's about building a relationship and providing more services than just lending. And in terms of focusing on what we control and control really, in my mind, what I was talking about there is what we do on purpose every day despite economic conditions or the weather or competitors. And it's what's under our control about getting out and talking to people and being of assistance and learning all we can about our customers' business and looking for ways to be of further assistance.
Operator: [Operator Instructions] Your next question comes from the line of Maria Roberts, a stockholder.
Unidenified Analyst: I have a question related to heading at the top of one of your charts in your attachment to the press release. It says successful lift-out strategy. And normally, a lift-out strategy would be outsourcing of a business function or part of your business. What do you mean by that language?
Bradley Peters: This is Brad Peters from the Minnesota markets. The lift-out strategy is referencing our success in lifting out key people from other financial institutions to become Westbankers. So we were successful in our Minnesota locations at doing that.
Unidenified Analyst: Okay. And then I have 1 other question. How do you actually manage to hold on to your core deposit, certificate of deposit numbers when your rates are so low compared to other places in the market? I just don't understand anybody leaving their money to earn like 1% or something less than that. It just seems like a silly personal strategy.
Jane Funk: We have the ability to -- a lot of our core deposit base is commercial-based and so we will do a rate based on relationship. So we're not doing advertised retail specials like you see other institutions, but we certainly have pricing strategies similar to those other institutions.
Unidenified Analyst: So you're saying I could negotiate with you?
Jane Funk: You could call your banker and talk about rates.
Operator: I will now turn the call back to Jane Funk for closing remarks.
Jane Funk: All right. Well, again, we want to thank everybody for joining us today, and we look forward to talking again next quarter. Thank you.
Operator: Ladies and gentlemen, that concludes today's call. You can disconnect. Thank you, and have a great day.